George Weston: Well, welcome to this review of the annual results for ABF for the 52 weeks ended the 17th of September 2022. More of you have made it in not only sort of post pandemic, but also on days and things that are disruptive than I had expected. So thank you very much for making that effort. We've got quite a lot to go through, and so I'm going to move at pace through some of it, if I may. So this is -- I mean we're delighted by the year that we've had. If I characterized it as ABF is back, I wouldn't be far off. Robust delivery in food in a very difficult environment with disruptive supply chain and lots of inflation. And then retail performance, Primark's performance strongly ahead. 10% sales growth at constant currency in food demonstrating pricing actions. And then adjusted operating profit for Sugar, Agriculture and Ingredients well ahead, I think, demonstrating the value of the diversity within the group. Grocery has a good job recovering cash costs caused by inflation. Margin is bound to come down and U.K. bakeries have been in the eye of some storm. Primark's strong recovery in sales, margins and returns on capital employed. U.K. trading has been particularly strong and will continue to be strong into the New Year. Continental Europe has recovered more slowly. Many parts of Europe came out of the pandemic later than the U.K. And then we've done a good job building the store pipeline. We'll see the benefits of that this year with 27 stores opening. And then the digital capability really has been transformed, and I'll show that to you later. Gross investment back to pre-pandemic days, £930 million. And then the total dividends up 8%. And the announcement that we've made, we're pleased to have been able to make of £500 million share price buyback. It's testament to the cash-generative nature of the business and also the strength of the balance sheet that we can return £500 million to shareholders and still have a robust, resilient balance sheet with firepower on it. Financial highlights then are these group revenues strongly ahead, up 22%, adjusted profit is up 38%, earnings per share up 64% and dividends up 8%, and John will go into all those lines. And net cash before lease liabilities at year-end, £1.5 billion. And with that, let me hand over to John.
John Bason: Great. Thanks, George. Group revenue was 22% ahead of last year at actual exchange rates and on a reported basis at £17 billion. Just a small reminder for you, the 2021 financial year was actually a 53-week trading year for Primark compared to 52 weeks this year, hence the phrase, reported. And Primark revenues were significantly higher and reflected a more normal customer behavior as the pandemic receded in our markets during the last financial year. And compared to the prior year, where 1/3 of the trading days available to Primark were lost. In our Food businesses, combined revenue increased by 10% at constant currency, reflecting price actions and in some businesses, volume increases. Adjusted operating profit for the group of £1,435 million was 42% ahead of the prior financial year at actual exchange rates. The major contributor to this increase was the significant improvement in operating profit margin at Primark, which moved from 5.7% last year to 9.8% this year. The average exchange rates used to translate the income statement resulted in a translation gain of £15 million, primarily driven by the strengthening of the U.S. dollar, particularly in the latter half of this financial year, and the weakness of sterling against some of our trading currencies. A table of average and year-end exchange rates for our major currencies is included at the end of the slide pack. The adjusted operating profit reflects the underlying performance of the businesses and excludes exceptional items. This year, there was an exceptional charge of £206 million, and that comprised noncash write-downs of assets in Primark Germany, specifically an impairment of property, plant and equipment of £72 million and £134 million against right-of-use assets. Sales density, as you may recall, in Germany declined in the later years up to the 2019 financial year. After weaker-than-expected trading in the second half of this financial year, we consider that a strong recovery from these sales densities is unlikely. Germany is also a very high cost to serve market for retailers. So as a consequence, the discounted cash flow of our revised forecast for our German stores requires the recognition of this impairment. The group's total tax charge includes a £63 million exceptional charge, which you'll see in a moment, of which £50 million relates to the derecognition of the deferred tax assets relating to the impaired German assets. We intend to return our German business to sustainable levels of profitability, and George will take you through these plans in a moment. On an unadjusted basis, statutory operating profit was ahead by 46%, up £1,178 million. Losses on the sale and closure of businesses amounted to £23 million, which mainly related to our North China Sugar business, which is now classified as held for sale. Net interest expense reduced as a result of the higher interest now being earned on our cash deposits. With the current interest rate environment, this will improve further. Other financial income increased as a consequence of the higher surplus in the group's U.K. defined benefit pension scheme at the beginning of the financial year, and it will increase again following the increase in that surplus at the beginning of the new financial year. Profit before tax was £1.076 billion, and that was 48% up on last year. And on an adjusted basis, was up 49% at £1.356 billion. So coming on to tax. This year's tax charge on the adjusted profit before tax was £301 million, an effective rate of 22.2%. As expected, this rate was a significant reduction from the higher tax rates in both of the prior financial years, which were COVID affected and profits of Primark were much reduced. Primark has a lower tax rate because of the lower tax rates in some of its jurisdictions of operation. You can also see here the £63 million exceptional charge, which I referred to earlier. Looking ahead, I expect upward pressure on the group's effective tax rate in the new financial year to some 25%. This includes the increase in U.K. corporation tax to 25% in April 2023, as well as a change in the mix of profits by tax jurisdiction. Coming to earnings and dividends. Adjusted earnings per share increased from 80.1p to 131.1p. The increase of 64% was driven by both the significant increase in adjusted operating profit and the reduction in the effective tax rate. The adjusted earnings per share of 131.1p compared to our pre-COVID high of 135.4p and that was, of course, in the 2019 financial year. This year, the Board declared an interim dividend of 13.8p per share and has now proposed a final dividend of 29.9p per share, giving a total dividend of 43.7p for the 2022 financial year. Dividends this financial year are 64% ahead of last year's ordinary dividends, of which totaled 26.7p per share, under 8% ahead of last year if the special of last year is included. I like this chart. I mean, this chart demonstrates the progress of our dividends. It really gives you the picture. So the period from 2006 to 2019, clearly was characterized by a progressive dividend. And the brown line shows you that the dividend cover was broadly level at about 3x. In 2020, of course, we suspended dividend payments and that related to COVID and the desire to conserve cash. And then, of course, you can see the progress now in the 2 latter years after that. So moving now on to the balance sheet. The group's net asset of £11.6 billion were £1.6 billion higher than last year. There's a net translation gain arising from the weakening of sterling against both the U.S. dollar and at the year-end also against the euro, and that's between the 2 year-end, and the amount of that is some £400 million. The major changes here are the increase in working capital of £771 million, an increase in the net pension asset of £821 million and a decline as expected in net cash of £413 million. Some £440 million of that increase in working capital relates to phasing. This resulted from the timing of the receipt of Primark autumn/winter inventory around both year-end dates, when £200 million of inventory arrived later than the end of the last financial year due to supply chain disruptions, which I'm sure we all remember, and £240 million of inventory was deliberately received earlier than this year-end to avoid higher freight costs. So our cash flow in our new financial year, remember, will benefit by that £240 million. The higher working capital also reflects, as you would expect, the outcome of inflation as well as, when necessary, some higher levels of inventory to mitigate potential supply chain disruption. You will be more than aware of the big movements in interest rates and asset values in the months leading up to our financial year-end. The surplus in the group's defined benefit pension schemes increased markedly by £821 million with a good performance in the scheme's assets and, of course, a big rise in the discount rate used to determine the scheme's liabilities, which obviously reduced as a result. Financing of the group was significantly strengthened last year, and I think it really does stand us in good stead for the foreseeable future. This builds on the announcement of our treasury policies relating to financial leverage and liquidity, the clarification of the capital allocation policy, and also securing an A issuer rating by S&P Global. Our financing is now more diversified. The tenure has been extended and most importantly, is free of financial performance covenants. The majority of our private placement notes have now been repaid. Our £400 million public bond is at a fixed 2.5% coupon and the revolving credit facility was secured at a significantly lower cost. The group has significant financial strength and flexibility. And that gives us, most importantly, the capacity to invest both organically and inorganically, and that will continue. It also allows us to announce today, of course, the £500 million share buyback program. In the financial year, the free cash flow -- coming on to the cash flow now, the free cash flow was much reduced this year compared to the prior year. Adjusted operating profit increased this financial year by £394 million. So the reduction in the free cash flow that you can see here really was driven by the build in working capital this financial year. The increase in working capital, and here it excludes biological assets and assets held for sale of £729 million compared to just £43 million last year. I've already explained that £440 million of this increase was the result of the timing of Primark inventory, and most of the remainder was driven by the high inflation experienced during the year. Capital expenditure for Primark was broadly level year-on-year and spend this year was actually focused on technology and the automation of warehouses. Primark is focused on building its pipeline of new stores during this year. And so an increase in new store expenditure will be very evident in our new financial year. The increase in capital expenditure for our food businesses of £105 million was mainly driven by a higher number of capital projects which are underway. George is actually going to describe those in some more detail towards the end of the presentation today. I expect the total capital investment for the group to increase in our next financial year compared to the total that we had this year. Cash spend on acquisitions increased to reach £154 million this financial year. Acquisition opportunities have returned post-COVID and the major acquisition that we made this year was, of course, the Fytexia Group by ABF Ingredients. The cash outflow for dividends of £380 million was substantially ahead of the prior year. And of course, that's the result of the resumption of the payment of ordinary dividend and the special dividend last year. So turning now to the performance by business segment. Our revenue was ahead in each of our food businesses and the combined total was 10% ahead of last year at constant currency. The Grocery division experienced a substantial amount of input cost inflation and a number of price increases were successfully implemented during the year in all businesses. As expected, the higher revenues resulting from price actions inevitably lagged input cost inflation. And so adjusted operating profit margin declined slightly and is a better result than probably most of you were expecting, up to 10.7% this financial year. AB Sugar revenues were 18% ahead of last year at constant currency, driven not only by higher sugar prices, but also higher co-product prices, especially bioethanol. Adjusted operating profit of £162 million this year, that was after £33 million of costs for the recommissioning of Vivergo, that's our bioethanol plant in Hull, which is now operating. So return on average capital employed, I'm pleased to say actually improved just a bit, but nevertheless improved to 10.3%. AB Agri also had a good year with revenue and adjusted operating profit well ahead. And by the way, just of note, I really am delighted to say that this was a record year for Frontier, which is the joint venture that we created from 17 years ago. And Ingredients, the specialty businesses of ABF Ingredients performed really strongly. And there, there was volume growth from both winning new business and post-pandemic customer volume recoveries as well as strong price execution. All of the businesses are well placed to take advantage of the opportunities ahead. The acquisition of Fytexia this year brought another high-quality Ingredients business into the portfolio. Profit declined at AB Mauri this financial year as a result of lower retail yeast volumes from the elevated COVID levels and with some lag in pricing recovery. Primark revenue and adjusted operating profit increased significantly compared to the prior year. Trading improved in all markets as we emerge from the pandemic. Trading was especially strong in the U.K. and the Republic of Ireland, but was weaker in Continental Europe. George will address our trading in a few moments. Operating profit margin improved strongly this year to 9.8%, reflecting trading for the whole of the period, and of course, the increase in the sales densities as more normal customer behavior resumed. The benefit of this normalization from COVID was partially offset, of course, as we saw it in the second half by high inflation and input costs such as energy and labor, and higher purchasing costs due to the significant strengthening of the U.S. dollar against both sterling and the euro. Central costs in our financial year 2019 were £76 million. So why am I saying that? COVID depressed these costs for the next two financial years. So this year's central costs, which were £88 million, I'd like you to compare it to that base of £76 million. And basically, that is the normalization of remuneration, recruitment and the resumption of many of the business activities that you would expect, including travel and project activity. There is a slide in the appendix that sets out the segmental analysis by geography. Before I hand over to George, I thought it would be really useful to set out how we're thinking about the main risks in this new financial year. Of course, first of all, I want to say there is no change in our outlook for this new year. We expect input cost inflation to be higher compared to the last, so that is just an indication to you of just how much inflation there is in the system. Exchange rates in commodity markets remain volatile. But here, I'm going to set out in broad terms the extent to which they are fixed in this coming financial year. We have good visibility of our energy costs in the first half, which are either hedged, or covered in the case of the U.K., by government support. Hedging is weighted to the first half, but our exposure is much reduced in the second half of our financial year. But of course, the processing of sugar in the northern hemisphere, which is very energy intensive, has actually been behind us in the second half. And of course, we then enter warmer weather as we move into the second half. The electricity cost for Primark stores will rise substantially this year, and I think we talked about that back in September. And our best view has been included in the outlook that we've already given. However, I would highlight, and George will make more of this, of the actions that are underway. But when something goes up on price like that, my goodness, don't you concentrate on actually getting that number down and that is indeed the case. The strength of the U.S. dollar against sterling and the euro has clearly been a substantial headwind in purchasing costs of Primark. Only 10% of inventory for the current financial year remains to be purchased. And so our exposure to the transaction effect of the U.S. dollar in this financial year is clearly much reduced. And although much smaller in a full year than the higher transaction costs, the group will, of course, benefit from the whole year from the translation of our U.S. dollar earnings if exchange rates remain at this level. So I think as a group, we're broadly hedged on that. We are, of course, expecting higher labor costs in this year, and they are factored into the outlook. Commodity costs and freight rates remain at elevated levels, but many have reduced from recent highs. And that is, of course, one of the things that we really need to look at is the management of that as we go through this year. So at Primark, specifically, our freight rate costs are higher in the new financial year, and that's basically because of the nature of the contract that we had in the previous year. But actually, we do expect to benefit now as freight rates have started to move down as the year progresses. With that point, I'll pass it over to George.
George Weston: Thank you very much, John. Before I get on to a closer look at the performance of Primark, I just wanted to say a few things about the high street and our position in it. The high street has changed really beyond recognition over the past three years. Long-standing competitors have fallen away. The pandemic has hastened their demise. And lots has been written about the death of physical retail in total. You know we've always had a different view. And today, we're ever more certain of that view. We're more certain that we've been right. Today, it is Primark, and in many cases, Primark alone, which drives footfall into town and shopping centers. The image on the side of this slide is of our flagship Bank Buildings Store in the center of Belfast that reopened last week, after £100 million and four years was spent restoring this listed building to its former glory after it was gutted by a fire in 2018. The day it opened, customers queued for hours to get inside and those queues have continued ever since. Slightly self-indulgent, but coming up are images of some of our favorite stores. The George and John Bason top 10, if you like. But the point is a serious one. Economist for The Times wrote last week, referencing our Belfast store, the bricks and mortar is one of the best ways to build a relationship with your customers. We agree, very hard to build a relationship online. That's why we continue to invest in our store estate, not just in the U.K., but across Continental Europe and now into the United States. And it's why we continue to invest in the store experience, giving more customers more reasons to visit their local Primark. Let me then revert to a more normal pattern. So the results with these, strong recovery in sales margin and return on capital employed, increase in customer footfall, particularly as the year went on, and return of more normal customer behaviors, particularly people returning to the city center stores. U.K. like-for-like sales and value market share are now broadly in line with where they were pre-COVID. Well, I think we were right. Continental Europe has been slower. They came out of pandemic later, and I think there's been more caution about energy bills still to come. There's more saving going on there. Good performance in the U.K. Repositioning in Germany, I'll come on to in a while. It will only be after consideration and consultation with our other stakeholders. And then the transformation and digital capability, the work that we've done on the website really is transformational, really important part of, and I'll come back to that. And then the U.K. Click and Collect trial, all the hard work, getting ready for that launch before Christmas has been done. And then as John mentioned, good progress in building the new store pipeline. Now this next section, I hope I can sort of subtitle goodbye to three year like-for-like. In the U.K., by the end of 2022, we were 6% down on a three year basis versus 2019. You can see the improvement in performance in the year just gone, and then the fourth quarter being well ahead, so with accelerating sales. Continental Europe didn't have the same uptick in the fourth quarter, but the year-on-year performance was good. Ireland was trying to lap an absolute blowout reopening in 2021. That's why that minus 16%. We're only comparing stores that were open for periods in which they were open. And then the group, minus 10% overall, plus one year -- like-for-like for a year, and then the fourth quarter plus 6%. Let me just look then at our two biggest markets. So in the U.K., over three years, the market has grown by 2.5% by value. Online share went from 27% to 40%. That's where it is today. Shoppers use both channels. That's the important insight. We've been saying it all along, and that's what we're seeing. So we haven't lost 13% of our customers. They're just shopping both channels. On a market growth value, and this is recent Kantar data, we're 1.1% down on a three year period. Offline is down, high streets are down 14.7%. Online is up 48%. We're down 1.1%. And 6.4% market share today versus 6.6% in 2019. If we look at a 1-year basis, the recovery has come in this last year. We've grown at 14%. The total is up 7.5%, off-line up 10%, and online up 2.9%. People are getting out of their bedrooms and going back to the shops or they're buying in their bedrooms, and then they come in to Primark to buy other stuff. On to Spain then, where similarly, three years, online has gone from 9% to 20%, and we're at the same value market share that we were three years ago. And then on a one year basis, we're up 25%. Total market is up 12% and online share is actually declining. Now we've added 25% new space. So we'd expect to see an improvement in our market share. But the good news is that we had. Okay. So those are the, I think, particularly reassuring pieces. Let me spend a little bit of time on Germany, where we've taken this big write-down of assets. We entered the market in 2009, and we had an extraordinary welcome in the German market. It's encouraged us perhaps full-heartedly to open more stores and bigger stores than we would have had in a similar sort of geography. And sales density started to decline 2016, 2017. We were actually making a fair fist of building reputation and market share back in 2019 and then the pandemic hit. And we've taken another step back, and we're in a position where we're losing too much money in the German market. And hence the impact. We do see a real opportunity for Primark in Germany. It's the second biggest clothing market in Europe and it overindexes on value compared with other markets in Europe. We have our place there. We just have a cost base that's too high and it's this historic, this legacy of stores which are big and too close together. We have to go through a proper open consultation period with the works councils in particular. But you can see where I think we would like to head where we think to fix this business. And at the same time, we have invested to build awareness and loyalty to the brand. We've got much better communications capability in Germany than we've ever had before. There's further to go still, but we belong in the German market, but not with the cost base that we've got. Pricing action. So yes, we have implemented selective price increases across the Autumn/Winter stock, about half of it. A little bit more in spring summer. The average price increased high single digits, and we said at the pre-close trading update and we repeat here, we're not going to implement further price increases on this year's range. We have to come out of this period with our core proposition of everyday affordability and price leadership intact, and we will. We expect also to see reduced disposable consumer income, you put your price up, we think we'll just sell less. So both for a sort of profit perspective and also for our brand and reputation perspective, we're going to leave the prices where they now are, having raised them quite significantly and for the first time in 9 years, so that muscle of repricing is back. Let me talk a little bit about the consumer and also some of what we're selling at the moment. And the two go together. We have seen in this new year-to-date, very strong sales of cold weather product. Consumers are leaving their central heating off and they're buying cold weather product to compensate. Snuddies, on the left, we sold so far this year, double last year's quantities on men's, women's and kids. The best-selling styles are Stitch from Lilo and Stitch and also the Grinch license remains as important to our business as it has. The Velvet plush leggings, on the right-hand side, we've sold 3x more than we sold last year, year-to-date. And firstly, there's an indication of people wearing more clothes. But secondly, we had our most viewed TikTok video, 7 million people watched the little video that we made about plush velvet leggings in a 3-day period, I think it was. We're seeing digital driving people to our stores. Click & Collect is going to be important. What we've already done in digital is part of the explanation of why the U.K. sales are as good as they are. Christmas. Now -- so more than ever, I think people are looking for great value for Christmas purchases. We've launched our Christmas range a month earlier. We think that people want to spread the cost of Christmas over more paydays. We've got 45% more choice this year than we had last year and 90% of the range cost £10 or less. Some very good Christmas present retailers are no longer with us and we have a great opportunity to take some of their place. So the Sushi Kit, you get chop sticks, ginger pod, £10. The Margarita Cocktail serving kit, £16, that's one of the ones above £10, obviously. Home wear into Christmas and then, of course, no Christmas would be complete without your new Fam Jams. And Grinch is the big license at the moment on them. We're using exclusive collaborations more and more to drive incremental sales. Kem does a great job selling smart men's clothes. Paula Echevarria is driving passion in Iberia, in particular, but the range has collaborated with us and is selling well everywhere. And then Stacey Solomon does a fabulous job on kids ranges that she works with us on to develop. And this is an interesting one. We're in three stores now with a vintage collection. Let me just show you the video now. This is a TikTok video that we've made on... [Audio/Video Presentation] You can see it absolutely, just by standing there, that we're attracting a new customer into Primark stores through the availability of vintage clothing in the three that we've got. We'll take it much further. It's working very well. The attachment basket, just as Click & Collect, is all about the attachment basket, this will drive attachment as well. Let me not forget Primark Cares, where this year has been really a foundational year, both the presentation we gave, what we call ESG 2, that was really important. We've been putting processes and programs in place. We're putting robust metrics in place, we've been collecting data to set baselines for further measurement. We absolutely welcome the debate about greenwashing and fashion. We are going to make ourselves as rock solid as we can and everyone else, I think, needs to catch up. Just updates on three commitments that we've made. On fabric, we've done really well. 25% of fabric at launch contained recycled or more sustainably sourced material. We're up to 45% now. And then 40% of cotton, up from 27%, contains cotton that is organic, recycled, or comes from the fast-expanding Primark Sustainable Cotton Program. Carbon emissions have gone up. Again, we're just going to tell you what they're doing. We've got a major commitment, I think, to halve them throughout the supply chain by 2030. As we said at the ESG meeting, most of the carbon comes is Scope 3. It comes from the supply chain. And putting programs in place to reduce that takes time. So we'll see the benefits of that coming through in years to come, but not straight away. In the meantime, on Scope 1, we're doing fabulous work. We think that this year, our energy usage in Primark stores and the supply chain we control will be down about 30% on actions which are not that difficult. So lots of low energy light bulb, a more sophisticated system of making sure that the lighting is appropriate for the time of day. And then finally, turning all the exterior lighting off after the shops are closed. Those actions, keeping doors shut, simple stuff, very achievable, we think will take 30% of our energy usage out. Tremendous financial payback obviously, in this area, but also really good way of taking carbon out of Scope 1. The first ethics and sustainability report with a lot more detail in it will be published later this month. There are two of them. There's one for food and there's one for Primark. Okay. Digital update. Real transformation of our digital capability. We've seen a really good reaction to the website. The traffic is almost double what it was a year ago, up 83%, twice as many page views average per session, and then 15% of people are using the new stock checker. We think that's a pretty good proxy for intending to go and buy something. And the early data that we're tracking gives us pretty strong clue that this is driving sales is really good. It will be rolled out to all the markets by the middle of this financial year. So by March, all the markets should have it. At the moment, it is just in the U.K. Again, maybe one of the reasons why the U.K. performance has been better than European performance. And then on to the Click & Collect trial. So this will offer customers a much expanded kids range. Up to 2,000 options or approximately double what you can currently buy in Primark stores will be available because of this Click & Collect initiative. The aim is to drive footfall to the store and deliver incremental sales. We know that shoppers, when they come into a Primark store, buy stuff. And we've set up the location of the Click & Collect collection points carefully. We've merchandised the areas around carefully to drive that incremental spend. It's a very thorough job as will be the assessment of it. The aim of this is to be richer at the end rather than poorer. And we will assess what the attachment rates are, what the cannibalization of some stores is, and what the Click & Collect basket itself looks like and the profitability of that. But we have great confidence that it will be a powerfully good thing. New stores opening in the second half. Here we are, I won't dwell on them, and then let's move straight on to the new store pipeline. We still are on track to get 530 stores into the estate by the end of 2026. The pipeline is building well, particular focus on building the pipelines in Italy, France, Iberia, and the U.S.A. This year, we expect to open 27 new stores, 10 of them before Christmas, and add a net of 1 million square feet of new selling space. So four news stores in Italy, two before Christmas, one actually today in Turin. And three new stores in Spain and then our first entry into new markets, two in Romania and one store in Slovakia. The big deal in new store openings though is in the United States. It's the breakout year. We're nearly doubling the selling space. Our 10 new stores, average of 37,000 square feet. We're opening 3 before Christmas in and around New York. We're going to have a really nice cluster of stores, Long Island, Queens, Brooklyn, in the suburbs of New York City. But also, I draw your attention to it, we're extending the Sawgrass Mills store, the first 1 in Florida. It's too small already, and we're adding a second store in Florida. So we think that there's a Florida relevance to this brand as there is in the Midwest. So we'll be opening our second store in Chicago, Woodfield Mall. The first one in State Street, now that the pandemic has gone, is trading its socks off. Okay. Before I move on to Food, just a quick outlook on Primark. So significant sales growth expected this year from both pricing and sales space growth. We're just reminding of the decision not to implement further prices. The margin will be where it is below the 8% of the second half of 2022 as a consequence. That we see no reason why we can't get this business back in time to an operating profit margin of some 10%. We're reviewing the options in Germany, breakout year in the States. Click & Collect will be properly tested by year-end, and we'll have the digital suite rolled out across the entire estate. And then last but not least, John doesn't sail far when he leaves us in the middle of next financial year in April, because he will be leading a very important strategic advisory Board. As Primark does more and more, it needs ever more expertise available to it. And John will be leading that. That's brilliant. Food, food, food, right. It's been a year sort of dominated by inflation, particularly on energy, which in the food system gets everywhere. It gets into fertilizer cost, it gets into cereal costs through there. It gets into glass bottles. It gets into packaging. Just everywhere you look in the food, supply chain costs have been going on and has been leading to a year where both our own salespeople have been in an arm wrestle about price recovery, but also our supply chain people have been in their own arm wrestle by our suppliers to try to minimize the input costs. The supply chain disruption, we saw some of it through the year, but less than the year before. So some of the life, again, of the supply chain people, in particular, has gotten a bit easier. The strikes in U.K. ports haven't helped much, but nonetheless, less the slight supply chain disruption than previously. Value the diversity of the group, some companies have had their best ever year because of the inflation. And then last but not least, there's a suite of ESG reporting relevant to Food that's available on the website today. Let me start then with Sugar, which has had a good year. Revenue is substantially higher. Higher sugar prices and lovely contribution from the co-products, particularly energy-related coproducts. We have more than simply a sugar business here, and that has been demonstrated in Spain in the year just gone. Higher yield and increased sugar production in the U.K. The year before, we had disease affect, we didn't have it this year. Sugar production in Illovo was disappointingly a bit lower, but we had some weather events that didn't help. We've recommissioned the very big bioethanol plant, and that's going well. I've got a slide on it later. And then I must salute Dr. Mark Carr, who's been running this business with great skill for 15 years now. He has retired. We're lucky enough to have an extremely good successor who's been in the Sugar business for some years. He has been in ABF for even longer to take his place. Even the best aren't irreplaceable. World and European sugar prices, again, an important divergence through the year in European prices from world sugar prices. After the deregulation in 2017, they came together. In fact, the European prices are oftentimes below world sugar prices. There's less sugar produced in Europe than it was before, and we've had this big divergence in pricing. I think that will stay for the foreseeable future. So the European market is not a world market for sugar, and the evidence is there on this slide. Sugar operations, then the campaign in the U.K., and this really matters. The profitability was a good one. This current one, sugar volumes will be down a bit as a consequence of the drought. I keep hoping that all this rain and warmth will cause the current forecast to be improved a bit, but they keep on saying it won't. We'll see who's right. And then in Spain, improved performance on the back of higher prices, good production, and good sales volumes. And then in China, growing potatoes was subsidized by the state and sugar acreage was well down, and that hurt a bit. Moving to Illovo, where sales and profits were broadly in line despite market pricing being higher. The extreme weather events, one in Malawi, one in South Africa did a fair amount of damage, although we recovered from both really fast. It's kind of our leading climate change part of the world. And we understand here, better than anywhere else, because weather has always been volatile, but what you need to do to be able to recover from a bad event, TCFD gets you to kind of forecast them, Illovo teaches us what to do to cope with them. Strong co-product contribution, particularly from [sulfurol], which we produce in South Africa from -- significant progress in levers, absolutely delightful to see in developing the retail capability. We've built two new packing plants to make retail sugar, one in Malawi, which is this one here in Olivewood, and the other one in Rwanda. So although we don't produce sugar in Rwanda, we do pack it there and supply it to the Rwandan market. This is rapidly transforming Illovo into basically an FMCG company with privileged distribution capability to the final consumer. We're building the new sugar factory that we've talked about in the past in Tanzania. That program is well underway. So Vivergo, so it cost us £33 million to recommission it. It's come up well, not without its issues, you wouldn't expect that with a big petrochemical plant essentially after the best part of five years being mothballed. But production is increasing. It's well up the way to design capacity, and it's consistent. We struggle with consistency before we seem to have fixed that issue. Europe remains a deficit market for bioethanol. That will underpin the price of ethanol across the European market. This will be a profitable business we're convinced, but it will be a volatile one. Earnings will be volatile because the price of wheat, price of gas, and the price of ethanol all can move in different directions from one another on any 1 day, but we're delighted to have Vivergo back. Okay. Moving from Sugar then onto Grocery. Revenues benefit from price increases. And the operating profit was solid. We've had to recover a huge amount of input cost from customers that don't like giving you price rises, and we've done that job really well. But it's not finished. There's just about as much increased cost in our pipeline now as last year. So if we think the food price inflation is yesterday's story, think again, it's here for a while yet. The margin recovery, we expect this year to get the cash cost back as we did last year. Margin recovery will take longer. Twinings, decent year if it hadn't been for China and Myanmar, those shutdowns, lockdowns in China have hurt us in our fastest-growing market. And Myanmar, I think we all know about. Ovaltine though had a good year. Another retirement from a great manager within ABF, Bob Tavener, who was Chief Executive, I think, for 22 years, and was a tremendous leader of that business. We have conducted a global search for his successor. We've got someone in his place who we're delighted to have. So within Twinings brand, we sold more tea during lockdown, inevitably, those sales have drifted back. But we sold very little into Food Service and those sales have come back. So that's good. Work is well underway in the Polish factory to take the plastic overwrap of most of the tea that we sell. Only in markets where there's a humidity problem, we'll leave that plastic overwrap. That's the biggest current use of plastic in Twinings, and it will be largely gone at some point this year. Ovaltine, good performances in Switzerland, Thailand, Brazil and Nigeria. That brand is still performing very well for us. Elsewhere in Grocery, inflation was a real challenge to World Foods, they buy a lot of glass. Just about everything they buy went up by 50% or more, and they did tremendous work to get the cost prices of that as good as anywhere else in ABF. Westmill Foods supplies Indian and Chinese restaurants, in particular. Customers came back to them. They've had a good year. We've also fortified basmati rice. I think we're the first brand to do that in the U.K. market. Flour has always been fortified in the U.K. with minerals, and we've managed to get into rice for that part of the community that's not eating a lot of flour, not getting fortification to the flour. That's I think a good thing that we've done. We've built some lovely very large oak barrels to age organic vinegars at Mazzetti in Modena and the growth of the Mazzetti brand has been really good. Listings in the U.K., in particular, have been a highlight of that business. That's a journey that's going to take years, but it's absolutely on track. And then brand relaunches in Jordans and Ryvita have been good. I've got an ad just in a moment, but very high cost inflation in those businesses. If you're taking cereals and you're cooking them, you really have got a double-whammy of cost inflation. Let me show you the new Ryvita ad. [Audio/Video Presentation] We're trying to do two things with traditional Ryvita. We're trying to bring a younger consumer into it. The average age profile of people using traditional Ryvita is quite old, and we're trying to introduce it to a younger generation. And then secondly, we're trying to escape from the, I don't eat Ryvita when I'm on a diet. It's a wonderful healthy carrier of whatever you want to put on it, and we need to make that point. This is what that ad is all about. Okay, bread. So we were making decent progress. We chopped two bakeries. We pushed price very hard and we were getting somewhere. And then the Ukraine war started. Wheat went up by another 45%. Energy went up multiple fold. We're taking flour, we're cooking it, and then we're distributing it. The cost base of -- the input cost inflation was probably worse in bread than just about any other commodity that we're involved with. Getting that back from the trade has been really tough. And in profit terms, we went backwards, not forward, despite the actions that we've taken to reduce our cost base, reduce our capacity, and that's where we ended the year. There are significant further pricing action underway in discussion with our customers. We fully understand, we've understood for a while, that pricing alone won't get us to an acceptable level of profit, and there I will leave it. Stratas had a very good year in the States. They enjoyed the lack of transparency in oil pricing and their margins were, they used that to push margins in a high-volume, low-margin business, and the result was the happiness, John. Profits significantly ahead. And then ACH has done a very good job of both getting ahead of the pricing curve on edible oils. So branded Mazola, we just priced and repriced and repriced and repriced. Whereas in the U.K. and to some extent, Australia, we've had sort of one big price, then six months later another big price. We've sort of priced constantly in the states and it's worked to treat. There's a following wind also to the extent that we've been helping bakery ingredients volumes, which went through the roof during COVID, have not returned to their pre-pandemic levels. So we're selling more yeast, we're selling more corn starch, more corn syrup than we were pre-pandemic, and that's really good. So the habit of home baking stuck with some American families. George Weston Foods, lots of COVID disruption, particularly labor shortages. Through a lot of the year, we are running every day with about 20% to 30% of our workforce absent, really tough. But we've got lovely businesses, both within Tip Top and Don in Quick Service Restaurants. We're a major supplier of bread, or rolls and bacon. And those have recovered well during the year in Australia. Several extreme weather events didn't help. Again, Australia has always been characterized by random weather, but we just recently, in this year, we didn't flood Don, but we did have a landslide that took out the electricity supply system. It's back up again, but it was a bit of a problem for a while. Okay. And then on to Agriculture, which had a good year, particularly the trading businesses. Now we're trying to grow the special part of this business. We're doing a reasonable job of it. Just from time to time, you get an opportunity, the trading businesses have an opportunity to make good money, and this was one of them. Again, the volatility led to Frontier having a record profit. Actually, we sell a lot of agricultural inputs, and with high wheat, farmers have been buying more agriculture inputs than they would normally do, but good raw material procurement in the U.K. as well in the feed mill. We bought a nice business, Greencoat, which sells equine and pet supplements, more specialty. And then on to Ingredients, and we start with Mauri, where we lagged input cost inflation, mainly because we have annual contracts and you have to wait for them to come around before you can reprice. The repricing has now been done. It's going to be done again. But we're sort of ahead of that cost inflation issue, which is great. Decline in retail yeast sales around the world, not back to where they came from, but lower than the previous year. And then important, new fresh yeast factory in Northern India, where construction is now underway. The star of the show, though has been the Specialty Ingredients business. Record revenue, record profit performance, volume growth, new business wins, strong recovery of input cost inflation. Enzymes and Ohly, the two biggest bits of -- that's not quite true, two important bits of the Specialty Ingredients portfolio had record years. And then we bought a nice company, Fytexia, which specializes in the manufacture and sale of phytonutrients, which go into sort of health-related supplements. Looking ahead in Food, we expect this year the aggregate profit will be ahead. It will be led by Sugar, which won't have that £33 million drag from Vivergo. Ingredients and Agriculture, we think, will be broadly in line. There's more revenue investment going on in Ingredients this year than last. And then inflation will continue to reduce Grocery margins despite the fact that we'll recover the cash costs of higher input prices. Before I go on to the group outlook, let me just put up this slide. £930 million is a lot of money to spend. It includes £160 million on acquisitions. And then the completed projects, down the left-hand side, of nearly completed ones, they're all about driving future profits. And I think we've got confidence in all of the projects underway. In Primark, we pivot a bit more into new store spend next year. We're also -- these low-energy light bulbs, we're really going for it. We're going to spend £66 million on low-energy light bulbs this year alone. That's a lot of screwing things in. But in Food, that new factory in Tanzania is important. Yeast extracts factory in Hamburg will be completely rebuilt, and so on and so forth. So we're still investing heavily back into the business, as well as returning £500 million through the share buyback. Right. Group outlook. I have to remind you, in all our enthusiasm, that the outlook remains unchanged from that which we took you through at the pre-close trading update. But the group is well positioned. Primark has proved its resilience. It absolutely has momentum. And then the Food continues to benefit from diversification. There's another year of heavy input cost inflation to get behind us. Sales will go up, not least on the back of inflation, but other areas of growth, too. We expect that lower adjusted operating profit that we have guided you to. Cash generation will be much better this year because of the non-repeat of those Primark timing issues that John went through. And then even after the share buyback, we have a strong balance sheet to give us resilience, to give us firepower. Lastly, live from the front, we opened Turin today, and here's a video of that we managed to get over here in double quick time. [Audio/Video Presentation] Okay. 450 people waiting to get in when we opened the door on the first day. Primark has as much relevance as it's always had. And these openings, whether you're going to Belfast or Turin, just like that. Thank you very much.
A - John Bason: Okay. So we've got time for some Q&A. There have been some people that are online. But maybe if we can take any questions from the floor. So we can go here. We have microphones even. So why don't we come right to the front and start out. Let's go with Warwick.
Alexander Okines: Warwick Okines, BNP Paribas Exane. Two questions, please. The first is that you've said you expect Primark to be driven by like-for-like growth this year. Could you just talk about the sort of parameters around that. What are you expecting for the year ahead? And in particular, do you think that Continental Europe can make significant progress towards that 2019 level of like-for-like? And secondly, you talked about your inventory and some of the phasing effects, but it was up 50% at a group level year-on-year. So could you just provide us some reassurance about Primark inventory, particularly around residual spring/summer stock and stock average?
George Weston: So let me answer that one first. The inventory, we're convinced, is well controlled. And the fact that it's up so much year-on-year is a reflection of our stock levels being really low at the beginning of the year and then deliberately high at the end of the year. So that 50% is really explained by those two alone. We have good stock cover. We don't think that -- we're not seeing any reason for concern on our inventory levels.
John Bason: Yes. And so I think we talked it about before. I think compared to maybe some U.S. retailers, where people are worried about the level of inventory, I don't think it is a problem for us.
George Weston: And then like-for-likes, I think we'll get some more recovery or improvement in Europe, but it's awfully hard to tell where the consumer is going to go. I mean we've been talking about a squeeze on consumer income and we're seeing it in some of our customers. Of course, we are. But the reality of the higher energy prices hasn't really hit. So I think we have to wait cautiously for that. We think that Christmas is a good opportunity, because it was so miserable last year with Omicron, number one. And number two, we've got a much better range, a much broader range than we did a year ago. And in the U.K., in particular, we have less competition. But what sales will be like in spring/summer next year, I think it's pretty hard to forecast.
John Bason: But I think in terms of sales overall, I'd be surprised if it wasn't a double-digit increase for Primark year-on-year. A big part of that is obviously the increase in prices. So high single digits on that. Maybe a little bit of a volume offset of maybe 2%. But then, of course, remember that we're adding selling space. So I think that will give us the best end of 3%, 4% added to sales. So that would be the sort of addition. Thanks. Let's go with Simon.
Simon Irwin: Three quick ones. George, can you give us any indication as to whether Wittington will be selling shares into the buyback or not?
George Weston: I'll just take my hat, ABF hat off. No, I can't.
Simon Irwin: Is there any -- will we ever find out?
George Weston: You have to contact them and see what they say. Just sort of for the regulatory basis, I'm ABF's Chief Executive and they're a shareholder.
Simon Irwin: Can you give us a quick update on the self-checkout at Primark?
George Weston: It's going well. So the 60% to 70% of shoppers seem to prefer to use it and the shrink level is well controlled and the labor savings are there.
Simon Irwin: And finally, the pension surplus is a fairly eye-watering number now. I'm old enough to remember pension holidays. Are we close to that?
John Bason: So the time when you change the contributions is when you look at the valuation. So next triannual valuation is April of next year. And indeed, we will look at that. One of the things to say is that the structure of the pension scheme is that both DB and DC are within the same plan. So we're able to look, I think, at abating, or, if not saving, the cash contribution, both for DC and DB going forward.
George Weston: I also remember chancellors wanting money, looking greedily at surpluses, pension schemes and going up, and so we'll just keep cautiously.
John Bason: Okay. Great. Thanks. Georgina.
Georgina Johanan: It's Georgina Johanan from JPMorgan. Two from me, please. First of all, just a quick one on Germany. From memory, I think the German loss a few years back was in the region of £40 million or so. So if you could just give an update on that, John.
John Bason: Well, I'll give it now, smaller than that, but still a lot. So there you go, between zero and £40 million, yes. It is lower than that.
Georgina Johanan: But double digit?
John Bason: Double digit, yes.
Georgina Johanan: And the second question was, I appreciate it's only been a few weeks since the last update, but obviously, things are moving quickly, some external factors have gone one way, some the other. Very broadly speaking, in terms of that Primark guidance of a margin of less than 8%, as we sort of sat here today, would you say that you feel sort of slightly more positive than a few weeks ago, or not, as the case maybe. Just any color helpful, please?
John Bason: Look, I think, I'd like to say that certainly, the variability that I think we were looking back in September, I think the variability of that has gone down. So that for me would be a key. It just so at one point looking at variability of like £100 million each way. And I think that's way, way down. So I think our visibility and certainly our confidence, if you like, in the guidance that we've given at the moment is where it is. Let's have a bit more trading and let's see where we are. I think before I'd move from where we are now. That's right. Okay. Richard Chamberlain.
Richard Chamberlain: Yes, Richard Chamberlain, RBC. I'll ask a couple of questions, please. We see the U.S. Primark expansion is key. There's a lot of expansion going on over there. How are you thinking about the infrastructure now for sort of additional phase of expansion? And how are you thinking about adapting the supply chain, I guess, not only for the U.S., but also in the group-wide or Primark-wide input cost pressure?
George Weston: At some point, we're going to have to add a second depot to supply, particularly the South. If we expand very quickly in Florida, it's a long way from the Pennsylvania depot and the depot is filling up anyway. So that will be -- a second depot is in not so much planned, but thinking. And then the supply chain, similarly good question. We are working to get more supply, particularly short lead time product out of Central South America. That's the big shift there. So what Turkey is to the European market, Central America tends to be to the North American market.
Richard Chamberlain: And just a quick one, John, on technical. On the tax rate, I think you mentioned that -- I mean, obviously, the U.K. corporation tax is not being cut. That's staying at 25 -- it's going back to 25…
John Bason: When it goes from 19, so we get half a year of that.
Richard Chamberlain: But what are the mix effects that you're talking about...
John Bason: So I mean, it's again back to the level of profit for Primark. So I think if you look at the guidance we're giving on Primark margin, that would mean a profit lower than the profit this year, because Primark has a lower tax rate and that's because of the jurisdictions that it's in, not least the U.K. actually, amongst others, as well as Ireland. So that means that the mix will be slightly negative. And that's the thing that would, say, tick it up a bit. Yes. Clive Black.
Clive Black: Clive Black from Shore Capital. Could you give us an indication of the return on invested capital on new Primark stores and how they compare to the residual estate? A second one then just around timing. When do expect Germany to actually break even? And also, there, I say, Allied Bakeries? And then lastly, I can't wrap my head, the Bason family in Fam Jams on Christmas...
George Weston: I must repeat the point that alterations to the estate in Germany will only be made after consultation with our other stakeholders. So I really can't give you any sense of timing because I can't prejudge what those consultations are going to lead to. And then Allied Bakeries, John, do you want to handle that diplomatically?
John Bason: Well, yes. I mean, look, the thing that is certainly in the outlook, as we've got it now, are obviously the sort of pricing and so forth that we've got and actually quite some significant pricing that will come through in this new financial year, also taking further costs out. And I think as far as the business as is, that's really as far as I think we can go.
George Weston: If energy prices and wheat prices came down significantly, it would help hugely.
John Bason: Clive, you asked about the return on capital employed of new Primark stores. So we're slightly intrigued as to why you're asking this question. I don't think I'm really seeing any lower or if not higher returns. So I wouldn't see any erosion in terms of the return on capital employed for the Primark estate. I was pleased to get the return on capital employed back above the 12% that we saw here with that coming back. So I would expect to see a continuation of a healthy return of capital employed certainly as I'm looking at new stores. That is very much okay. Yes. So yes, please, go ahead, Anna. Do we have any questions online?
Operator: [Operator Instructions] The first question comes from the line of Warren Ackerman.
Warren Ackerman: A couple from me. The first one is on Primark again. In light of Germany, should we be concerned about Primark in France? Just note the comments around a lack of recovery around the Paris stores. Can you maybe give some numbers around France, what you're seeing, does it impact your kind of rollout program in France? And maybe at the same time, if you can say something about trading in Benelux, because I don't think I saw any comments around Holland, Belgium, would be useful. The second one is just on Grocery. What kind of quantum of inflation are we looking at in the current year, John? It's obviously notable, you're saying it's higher year-on-year and '22 was already a massive year. So I was wondering whether you can maybe give us an idea of the quantum of the jump, the delta that you're looking for in grocery? And just finally on Sugar, can you say something about what contribution you expect from Vivergo in the new financial year against the minus £33 million, and maybe help us a little bit on your average contracting sugar price in the EU relative to higher kind of EU sugar prices?
George Weston: So we've seen good recent improvement in store sales in France and we have got a clear idea that -- I mean, the issue with the Primark brand in France is much more that people don't know it than there's anything negative associated with it. So that's good. We're being very careful to place new stores some distance from existing ones. And that we think will reduce the danger of cannibalization in the French market. We're very aware that we need to maintain high sales densities to pay our bills in the French market. We don't think that we've got a sales issue at the moment. We do have a cost issue, particularly around energy cost inflation. The retailers are not protected in the same way in France from energy price inflation as they are in the U.K., and our energy cost bill is going up dramatically in the French market. If that does France, Vivergo, I can't tell you about the future, and it's volatile. We had a look at what we would have made, had we been running as we are now running last year and we would have made £14 million. But it's a volatile picture. I'm not forecasting that we would, again, make £14 million in the future or any other number, but that's what we would have made last year. Where are we headed?
John Bason: So if I was pointing a number, it would be single-digit millions of profit for Vivergo, and that obviously compares to the cost that we've got in the current year. The other one was just around Sugar with the price of European -- it was surprise of our book in British sugar prices.
George Weston: Do you want to take that one?
John Bason: I mean let me put it this way. I think the average book, high €600 towards €700 per tonne is probably where we are for the British sugar. I mean, obviously, a lot of the spot rates are obviously a lot higher, but I never really like the spot market, because obviously, they're smaller volumes. But obviously, that is a much bigger front certainly than last year.
George Weston: So on a margin perspective, we don't think we would have a problem. It's this volume reduction that's worrying us. If there's a crop reduction, where it will come from, the crop size reduction.
Warren Ackerman: Can you say something about the higher meat cost as well?
John Bason: So I mean, let's bear in mind that the Grocery profit overall is, let's say, rounded £400 million. A number of hundreds of millions is the inflation that we're seeing, again, in this new financial year. I mean the reason we're saying that is that in some ways you kind of feel well, but probably have the inflationary spike, and it's behind us. But certainly, what we're trying to say here is that there is sort of wave upon wave of inflations coming through. And I think George mentioned it, particularly for those businesses where maybe a lot of their hedges have fallen away and they've felt the need to pass the increases on. So for Grocery, £200 million to £300 million of inflation, and I'd put it ahead of the previous year, probably by about £50 million or so. But it's the scale of it and the persistence of it, which I think is the thing that we're really highlighting that. Does that cover the question?
Warren Ackerman: It did. I just want to quickly go back on the Sugar just very briefly. Just on that €600, €700. Would you say that EU prices currently, I'm just referencing [indiscernible], they're talking numbers of €800, €900 a tonne. And maybe is it still right to think about a third of your book kind of rotates onto those higher prices on an annual basis?
John Bason: So they are moving parts of the book, Warren, and that's exactly where you're going. So you've got maybe a third of the book or so really at prices of last year. And they're really much more towards the €500 mark. So that gives you a feel for where it is. So it's obviously an average across the piece, misled by the absolute sort of spot, because you know we don't quite really like it because they're trying to pull down. So we can take the next question, please.
Operator: [Operator Instructions] And the next question comes from the line of David Roux from Bank of America.
David Roux: I just got two questions for John. The first is just a follow-up on the comments around ROCE for new stores not being that different from the current estate. John, are you referencing the 12% ROCE for Primark or the sort of 30% level from pre-pandemic? And then my second question is just on Primark dollar product costs. Could you just perhaps give us an update on where new order prices have been trending in the last couple of months, just to kind of see whether we have indeed passed the peak and those are coming down?
John Bason: So return on capital employed, the 30% you're probably looking at there is pre, wait for it, IFRS 16. So we had return on capital employed in the high 20s. The application of IFRS 16 brought it down broadly, broadly. I think restated would have taken us to probably about 15%. And so the 12% that we're looking at is a reflection of the profitability at around the £750 million of profit that we've achieved now. Does that explain that? So that really is an accounting restatement. And so I've always seen the return on capital employed for our stores to be really very buoyant. And so not remotely a problem as inferred by that reduction. Does that answer that question?
David Roux: Yes, it does. I was referring to the ROCE in 2019, which I assume had adjusted for that, but that's fine. So John, does that mean the stores would be closer to 15%?
John Bason: We didn't do the modified retrospective or whatever, we adopted, which meant that you didn't restate prior years. So I think 2019, I'm sure I'm right on this, was still on the old basis. And then 2020 was on IFRS 16. So it was not restated, just to make it absolutely clear.
George Weston: Cost of product recently purchased. I think the big move is currency. So compared with the 120s to 130s against dollar sterling, we're down at, call it, 110, 115. And that's what's moving cost rather than anything else.
John Bason: We'll take the next question, please.
Operator: [Operator Instructions] And the next question comes from the line of Adam Cochrane from Deutsche Bank.
Adam Cochrane: Just a couple of questions on Primark. Firstly, how important is the like-for-like outlook for the next financial year to the margin assumptions for Primark in terms of below 8% compared to the other factors? It sounds like your other factors are generally reasonably well hedged in the sounds of things. So if like-for-like remained variable within the forecast? And what does the like-for-like higher or lower mean for margin? And then secondly, you talked before and during the pandemic about some of your larger stores underperforming. Can you just give us an update of how that's trended in the last three, six, 12 months in terms of the bigger stores versus the out-of-town stores, et cetera? And then thirdly, maybe more a general question. Your pricing policy appears to be going to give you, hopefully, a competitive advantage. How are you going to make sure that all of your consumers are aware of this? Is there some advertising, et cetera, you can do to make sure people know about your price position may be improving compared to the peers?
John Bason: George, why don't you take that last one about the pricing. They're so conscious of pricing. It's untrue.
George Weston: Yes, as John rightly says, our consumers are very aware of pricing. The website makes things very apparent to them, but we're also doing much more work through the communications team talking to the press about our pricing policy. We did a significant issue interview the other day in France, for example, where we took journalists through the reality of our freezing of kids wear prices. So more communications, but our customers are very well aware of our prices and our relative prices.
John Bason: So should we go in reverse order? What about the large stores that we're really underperforming?
George Weston: On a year-on-year basis, the large stores are up 15% to 30%. So not quite back to 2019, but well on the way. The issue with the large stores is less a sales one now than a labor availability. We are in city centers all around Europe. We're short of staff. So the city stores are back. When I showed you some of those pictures, it is with a certain knowledge that the sales are so much higher than they were before. So what was the problem in the pandemic and the immediate aftermath is no longer a problem.
John Bason: And maybe like for likes, George, do you want to comment on that?
George Weston: Yes, it is the biggest moving part. And it would give us our upside or downside now is like-for-likes. What I don't have in my head is the leverage on increased sales. But it sort of flows through pretty much at the gross margin.
John Bason: So Adam, one of the things that I was saying about the guidance I've given for this year is there is embedded in that number an expectation of some volume decline. So that's basically people managing the budget. So the big piece is clearly the price increase of 8%, 9% flowing through to the year. You've then got some volume decline, and then you've got the amount. So I think I've got some embedded in there. But you're right, there is that clearly, if volumes go down a lot more or they go up a lot more, then that will clearly affect both the margin and profit that's coming through. I think, in the interest of time, I think we've got one more question, please. We can take that from online.
Operator: [Operator Instructions] And the last question comes from the line of Anne Critchlow from Societe Generale.
Anne Critchlow: Just one question, please, from me on Primark Warehousing. So just to remind us, where your facilities are and how you are investing in them. I think you mentioned you're going to invest this year, and what the level of automation is?
George Weston: So we have significantly automated Rosendal and the project to do, Bor, that's in Holland. Czech Republic Bor, which supplies the Italian markets, and the more eastly part of our portfolio, that project will be completed during the year. That is a more complete automation of the depot. The big one that we're working on at the moment, which I don't think will be completed in the year, is New Bridge in Ireland. That's a complete automation. So both of pallet storage and also then the handling of individual boxes, but that's the next one to be done. As I say, at some point in the not-too-distant future, we'll add capacity, but probably not automated, in the South United States. We go from Rosendal to the Spanish depots. We'll automate them afterwards. I think in 5 or 6 years' time, we'll have a warehouse estate where perhaps 60% of what we put through at depot is put through an automated one. That's the level of automation we'll get to.
John Bason: Thank you very much. Thank you very much, everyone. Thank you.